Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Calfrac Well Services Limited Second Quarter 2023 Earnings Release and Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Michael Olinek, Chief Financial Officer. Sir please begin. 
Michael Olinek: Thank you, Howard. Good morning and welcome to our discussion of Calfrac Well Services second quarter 2023 results. Joining me on the call today is Pat Powell, Calfrac's Chief Executive Officer. This morning's conference call will be conducted as follows; Pat will provide some opening commentary, after which I will summarize the financial position and performance of the company. Pat will then provide an outlook for Calfrac's business and some closing remarks. After the completion of our prepared remarks, we will open the call to questions. In a release issued earlier today, Calfrac reported its second quarter 2023 results. Please note that all financial figures are in Canadian dollars unless otherwise indicated. Some of our comments today will refer to non-IFRS measures. Please see our news release for additional disclosure on these financial measures. Our comments today will also include forward-looking statements regarding Calfrac's future results and prospects. We caution you that these forward-looking statements are subject to a number of known and unknown risks and uncertainties that could cause our results to differ materially from our expectations. Please see this morning's news release and Calfrac's SEDAR filings including our 2022 annual information form for more information on forward-looking statements and these risk factors. Lastly, as we have disclosed previously, the company is committed to a plan to sell its Russian division and has designated these assets liabilities and operations in Russia as held for sale and discontinued operations in the financial statements. Calfrac is seeking to complete this transaction as soon as possible, while complying with all applicable laws and sanctions. The focus on the remainder of this call will be on Calfrac's continuing operations unless otherwise specified. Now, I will pass the call over to Pat.
Pat Powell: Thanks Mike. Good morning and thank you everybody for joining our call today. Before Mike provides the financial highlights of the second quarter, I will offer some opening remarks. First, I want to commend my operating teams in North America and Argentina for delivering on our brand promise and maintaining our stellar safety record, which translated into record second quarter EBITDA from continuing operations of CAD87.8 million or 18.8% of revenue. I would like to also thank our long-term customers and new customers who continue to choose Calfrac to assist in bringing their wells into production, also our suppliers that enable us to provide our services in a safe and efficient manner. Calfrac has now showing significant financial improvement for the fourth consecutive quarter. The performance during the second quarter is especially impressive as the company achieved these results during a period of seasonal breakup in Western Canada and North Dakota, as well as through an extremely challenging wildfire season in Canada. Despite these strong operating and financial results, Calfrac remains focused on driving continued improvement on its return to shareholders through effective cost management and maximizing our fracturing fleet utilization. We continually analyze all aspects of our service offerings to create a best-in-class oilfield service company. I believe that we have made steady progress toward that objective during the first six months of the year. I will now provide an update on Calfrac's capital program. Thus far in 2023, we have deployed the initial nine Tier 4 DGB pumping units into our North American division. The performance of this new pumping equipment has met our expectations with diesel displacement rates that have exceeded 80% in their initial usage in the field. Overall, the announced fleet investment plan remains on schedule as we expect to deploy another four pumps in the next couple of weeks and the balance of the 50 Tier 4 units into North America by the end of the first quarter of 2024. This refurbishment will continue into the future as finances and the markets dictate. This program will play a significant role in Calfrac's ability to strengthen our balance sheet as we migrate our operating fleets to next-generation pumping equipment to help meet our customers' expectations and our ESG commitments. I am very impressed with the strong execution of our operating teams at Calfrac during the first half of the year. And as the largest Canadian headquartered pressure pumping company, we expect to leverage on our geographical footprint and build on that performance through the remainder of 2023 by capitalizing on the strong markets that we are currently enjoying. Moving forward, we remain focused on our three strategic objectives. We do it safely, right and profitably not only for Calfrac, but for our shareholders, employees, customers and suppliers. With that said, I'll now pass the call over to Mike who will present an overview of our quarterly financial performance.
Michael Olinek: Thank you Pat. Calfrac's revenue from continuing operations during the second quarter was $466.5 million or 46% higher than the same period in 2022. Adjusted EBITDA during the second quarter of 2023 more than doubled to $87.8 million versus $40.7 million in the comparable quarter in 2022. The results in the second quarter of 2023 included fluid end expense of approximately $10 million as the company implemented a prospective change in accounting estimate for fluid ends at the beginning of the year to record those items as a component of R&M expense rather than as a capital expenditure. This significant improvement in financial performance was primarily due to higher fracturing fleet utilization and the addition of two large spreads operating in North America combined with better overall pricing levels in Argentina. Despite the year-over-year growth in utilization, the second quarter was hampered by wildfires in British Columbia and Alberta during April and May, which resulted in several lost operating days. However, most of these delayed work programs were completed in June. Calfrac grew net income from continuing operations by $57.3 million during the second quarter to $50.5 million compared to a net loss of $6.8 million in the comparable quarter of 2022. Calfrac incurred capital expenditures of $30.7 million during the second quarter versus $15.2 million in the same period of 2022. The year-over-year increase in capital spending was primarily related to the company's previously announced Tier 4 fleet modernization program, which continues to progress in accordance with our planned deployment schedule. The announced $5 million increase to Calfrac's 2023 capital budget was entirely related to Argentina, mainly to bolster our fracturing operations in the Vaca Muerta shale play. These additional capital expenditures will be funded by the cash flow from operations generated in that country. As part of Calfrac's efforts to rightsize its business and maximize returns for shareholders, the company sold certain non-core assets located in North America for net proceeds of approximately $22 million, which were dedicated to the repayment of long-term debt. To summarize the balance sheet at the end of the second quarter, the company had working capital of $282.9 million from continuing operations. During the second quarter, the company had used $3.4 million of its credit facilities for letters of credit and had $175 million of borrowings under its revolving term loan facility, leaving approximately $72 million in available credit. Calfrac exited the quarter with net debt to adjusted EBITDA of approximately one-times as compared to 1.5 times at year-end. This leverage ratio is the lowest in recent history and the company expects to reduce long-term debt by approximately $80 million by the end of this year, as working capital is no longer expected to be a material use of its cash flow from operations. Now I will turn the call back to Pat to provide our outlook. 
Pat Powell: Thanks, Mike. So I'll present an outlook on Calfrac's continuing operations across our geographic footprint. In North America, despite losing we've already mentioned a normal number of operational days due to factors outside our control, wildfires, weather, customer delays, Calfrac managed to generate its best second quarter profitability in its history. We anticipate that the strong operational momentum in the first half will continue throughout the remainder of this year and enable us to maximize returns for our shareholders. In Argentina, Calfrac's operations generated strong financial results for another quarter and has now produced operating profits in excess of capital expenditures for 10 of the last 11 quarters. In addition to delivering consistent profits, Calfrac has a manufacturer in – Argentina has a manufacturer in country, with the capabilities to build or refurbish existing equipment locally using cash flow generated within Argentina. This equipment could then be used in country or exported to North America. Two of the nine pumps that we have deployed this year were built in Argentina. Through the end of 2023 we expect solid utilization by a dedicated contract work across all service lines, which is expected to produce strong financial returns in Argentina. We have had a great start to the year and I think that we can accomplish even more as we continue to make progress on our three strategic priorities, which are maximizing, consolidated net income and free cash flow through a disciplined returns-focused approach; number two is dedicating free cash flow to reducing the company's long-term debt; and three, investing in new technologies will enhance Calfrac's service and deliverability in the field. I will now turn the call back to Mike to begin the Q&A portion of the call.
Michael Olinek: Thanks, Pat. I would now like to turn the call back to Howard for the Q&A portion.
Operator: [Operator Instructions] Our first question or comment comes from the line of Cole Pereira from Stifel. Your line is open.
Cole Pereira: Hi, good morning, everyone. Obviously, the North American business look quite strong. Can you just talk about how we should be thinking about your US fleet utilization and economics into the second half relative to Q2? 
Pat Powell: We see – it's Pat here. We see continued, steady, I would say utilization going forward in the second half. We do have a little bit of white space I would call now. But with the oil price and the gas price stiffening up a bit, I think that we will probably fill some of those holes on the spot market. But – so we're looking for I would just say steady going forward. 
Cole Pereira: Okay. Great. And can you talk about what you've seen with pricing in the US for your fleets? And did you have much spot exposure, or was it really kind of running on prior contracts? 
Pat Powell: I would say it's a little bit of both. We have our long-term customers that we've worked for a long time and we'll continue to work for. And we do always have some spot work. We like to have some spot work just because of the way the work can get pushed and then we -- sometimes we'll have a fleet sitting that's just because of a well problem or something and then we can fill it in with some spot work.
Cole Pereira: Got it. And on the balance sheet side is there sort of a debt level that you're comfortable with? I mean is it -- is a function of EBITDA? Is it working capital? Is it zero debt? How do you think about that?
Michael Olinek: Hi, Cole, it's Mike. I think where we're heading is certainly the direction that Pat and I are driving to have debt dramatically lower than we entered the year. As I talked to in my call notes, we're anticipating $80 million of debt reduction between now and the end of the year. And we continue to make strides on an absolute debt level that, I would say is below $200 million. But we know that, that's going to be a number of quarters away but we think we're going to make some good progress on that between now and year-end.
Cole Pereira: Okay. Got it. That's all for me. Thanks, I'll turn it back.
Operator: Thank you. [Operator Instructions] Our next question or comment comes from the line of Keith Mackey from RBC Capital Markets. Mr. Mackey, your line is open.
Keith MacKey: Hi. Thanks, and good morning. Just wanted to start out with the DGB upgrade. It sounds like you've got a few pumps coming out in the next few weeks, which I guess by my count would leave you about 46 pumps to do between now and the end of Q1, which would be about seven months. So comes out to around six to seven pumps a month. Can you just speak to your confidence in your ability to deliver on that plan? And how much might depend on third-party lead times and things like that? 
Pat Powell: Well, we spent quite a bit of time on this Keith. So the -- I mean Caterpillar assures us that the engine and transmissions won't be an issue. And we have a number of pumps in -- we're doing this rebuild in Louisiana and we have -- we're pretty much their own sole customer down there with -- well they have a production line where we have eight or nine pumps in production right now in different stages plus these four that are going to be out in the next couple of weeks. So, I mean, we're as confident as our suppliers are of telling us that we will have these 50 pumps in the field in the -- by the first quarter of early in the first quarter of 2024. So I'm fairly confident it's going to happen.
Keith MacKey: Got it. Got it. Thanks, Pat. And just Mike on capital allocation again. So $80 million of debt repayment through this year. What do you think about what to do next? Is it further debt repayment? Is it incremental CapEx? Is it shareholder returns of some kind? And what type of shareholder returns do you think you look at first, or how would you frame that? 
Michael Olinek: I think from our side our focus is on debt repayment at this time, Keith. As I mentioned, I think we're making great progress on that. Certainly, we're going to see that here in the second half. And as we look into next year I think our focus is a mixture of debt repayments getting us sub-$200 million as well as investing in our equipment as we've done here in 2023.
Keith MacKey: Got it. Thanks very much. That's it for me.
Operator: Thank you. Our next question or comment comes from the line of Syed Waqar from ATB Capital Markets. Mr. Syed, your line is open.
Waqar Syed: Thank you for taking my question, and good morning. My question relates to the working capital build. Certainly, it was much larger than what we were expecting and your days receivable went up quite a bit. Could you maybe comment on that? Is it just a timing issue, and it's going to come down, or are those days receivables are likely to stay relatively steady? And is that receivable buildup in -- geographically in North America or international? Could you maybe comment on that?
Michael Olinek: Yeah, Waqar, I certainly can. Thanks for the question. The buildup in working capital is really a function of two factors. One is really the cadence of work activity in the second quarter in North America. So we had a very strong second half of the second quarter. So just with our normal DSO that's -- and DPOs levels that we have, that is pretty much on our run rate. And then the other aspect is Argentina had a very strong quarter as well. Their DSO is considerably longer than North America. And so as a function on a consolidated or continuing operations basis that also plays a significant role in the build. We certainly see that reversing here in the third quarter. And certainly, between now and year-end, I think things will moderate quite well. But yes it's a function of really timing of work activity in the second quarter and where that work was actually taking place.
Syed Waqar: Do you expect working capital to be a source of cash in Q3 or just maybe neutral? 
Michael Olinek: Yeah. I think the way we're looking at it was steady activity in North America as Pat outlined, we don't see the dramatic need to increase working capital. And as I mentioned before, I think Argentina hit a high point in the second quarter for revenue. So we're certainly going to see that as going to be an inflow of cash by how much it will depend again on activity. But I think the fourth quarter generally is a bit lower. So you'll see more of that recapture likely in the fourth quarter.
Syed Waqar: Okay. Great. And then just on the frac sand market both in the US and the Canadian market. We've heard some comments about tightness in supply on the Canadian side and maybe loosening on the US side. Could you maybe comment on the supply -- sand supply dynamics?
Pat Powell: You're talking sand Waqar? 
Syed Waqar: Yeah, frac sand. 
Pat Powell: Frac sand. Yeah, we've -- in Canada, we have a bit of a unique situation I believe with our -- we have our own sand transloads and we have a good working relationship with our sand suppliers out of Wisconsin. So we're not seeing -- the Calfrac itself is not seeing too many issues on getting sand. The United States it can be a little bit tougher. But so far we've been managing quite well. I haven't heard any urgency out of our supply chain people that they're expecting to have any issues that we can't handle with sand going forward. The trucking and a few can be a bit of an issue, but we're also pretty well supplied there. So I think we're okay as far as I can see with sand I'm not overly concerned. 
Syed Waqar: Okay. Now one of your key major customers a major company in Canada there were some talk before about declines in activity that they were shutting down in September and they were customer of yours from pumping perspective. So has there been any new changes there, or have you been able to find different jobs for those crews? 
Pat Powell: I would say that we still have some white space because of this. But with the oil and gas prices stiffening as they have, I think we're going to be okay. I would imagine we will be a little bit lighter than we want to be but not concerningly right now.
Syed Waqar: Okay. Well, thank you very much. Appreciate the color.
Pat Powell: Thanks, Waqar.
Operator: Thank you. [Operator Instructions] Our next question or comment comes from the line of James Gourlay from Peters & Company. Mr. Gourlay, your line is open. Mr. Gourlay, your line is open. I'd like to turn the conference back over to management for any closing remarks.
Michael Olinek: Thanks, Howard. And yes, we'd like to thank everyone for joining us for today's call and we certainly look forward to presenting our third quarter results in early November. Thanks very much. 
Pat Powell: Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone have a wonderful day.